Operator: Welcome to Workday's First Quarter Fiscal Year 2022 Earnings Call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer towards the end of the call.  I would now hand it over to Justin Furby, Vice President of Investor Relations. Thank you. You may begin.
Justin Furby: Thank you, operator. Welcome to Workday's first quarter fiscal 2022 earnings conference call. On the call, we have Aneel Bhusri and Chano Fernandez, our Co-CEOs; Robynne Sisco, our President and CFO; and Pete Schlampp, our Executive Vice President of Product Development. Following prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast.  Before we get started, we want to emphasize that some of our statements on this call, particularly our guidance, are based on the information we have as of today and include forward-looking statements regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions including those related to the impacts of the ongoing COVID-19 pandemic on our business and global economic condition. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our 2021 annual report on Form 10-K and most recent quarterly report on Form 10-Q for additional information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Also, the Customers page of our website includes a list of selected customers and is updated monthly. Our second quarter quiet period begins on July 16, 2021. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2021. With that, I will hand the call over to Aneel.
Aneel Bhusri: Thank you, Justin, and good afternoon, everyone. Thank you for joining us today for our first quarter fiscal year '22 earnings call. Before we jump into our quarterly results, first a huge congratulations to Workday investor and my good friend, Phil Mickelson, on winning the PGA Championship over the weekend, an amazing accomplishment and proving once again that in addition to being a great person, Phil is one of the most talented golfers of all time. I'm pleased to report that Workday had a strong quarter, starting the year with significant momentum and positioning us well for a great fiscal year '22. In Q1, we saw an increase in demand across all product areas while delivering strong non-GAAP operating margins of 25%, showing the strength inherent in our underlying business model. Our results support the acceleration in digital transformations across HR and finance, and Robynne will share more shortly on how we plan to invest behind this opportunity. Let me share some highlights starting with Workday HCM. We continue to be the market leader with our differentiated suite of products and continued innovation. We're seeing an increase in demand as more and more organizations prioritize transition of their HCM systems to cloud to deliver a world-class employee experience. In Q1, we welcomed ASM Global, Las Vegas Sands Corp., Mattel, Five Below Inc., and Cost Plus World Market to the Workday family, along with many other new HCM customers. Even with all the sales momentum, we continue to have over 70% of our HCM customers in production with notable go-lives in Q1, including Fielmann AG, University of Sydney, and Macquire University to name a few. Turning to Workday Financial Management. We saw momentum build in Q1 as companies increasingly prioritized digitalization within the office of the CFO. In addition to an acceleration in core financials bookings, we also saw strength across the portfolio with offerings such as Workday Adaptive Planning, Spend Management, including Workday Strategic Sourcing formerly known as Scout, and our Enterprise Finance Solutions. New customers in Q1 included Los Angeles Department of Water and Power, Saks [ph], and St. Francis Health System Incorporated with add-on wins at FHI and Werner Enterprises. Our focus on industry solutions was also a key contributor to our success during the quarter, where our PSA solution was a key driver to the broader HR and FINS platform win in Q1, and accounting firm, RSM US. And our Accounting Center solution was part of a FINS first win at National Farmers Union Mutual Insurance. Our strong position continues to get recognized by the market. For the fifth year in a row, Workday was named a Leader in the Gartner Magic Quadrant for Cloud Core Financial Management Suites for Midsize, Large, and Global Enterprises List published on May 1 of this year. Taking a step back, we continue to focus on delivering a global solution that enables business leaders to plan, execute and analyze all in one system. And in this rapidly changing world, our value proposition only continues to grow as we make advances on the innovation front. In Q1, we delivered our latest feature release, Workday 2021 R1 with advancements across all product areas, including broadening the capabilities of Workday Extend and greater functionality in spend and supplier management. We also continued our investment in a world class user experience, smarter and more personalized search in Workday People Experience as well as extended capabilities in natural workspaces outside of Workday such as Slack and Microsoft Teams. And to further enable customers in optimizing the future of their employee experience in this ever-changing world, I'm proud to announce that we closed on the acquisition of Peakon, now a Workday company. Chano will add more color on Peakon in a few minutes, but we couldn't be more excited about the opportunity we see with the Peakon offerings and are excited to welcome the Peakon team to Workday. In our history, innovation and empathy have always led to greater customer satisfaction, which is at the heart of everything we do at Workday. I continue to be so grateful to our teams who have all supported customers in entirely new ways to ensure their success during these challenging times. Underscoring this dedication, I'm pleased to announce our latest customer satisfaction score of 97%. This survey is particularly meaningful as it provides us feedback from our named support contacts: those who are closest to engaging with the Workday experience on a daily basis. Switching to the people front, as you all know, we believe a key part of our success continues to be our vibrant company culture, which allows us to maintain high levels of employee satisfaction and greatly helps us attract and retain talent across all levels of the company. As we look ahead, we see a tremendous opportunity in front of us to partner with more organizations across all industries and serve as the backbone of their digital transformation efforts in this changing world. The foundational to delivering on that opportunity will be a motivated and growing group of employees. So, as we move forward on this growth path, we plan to increase our global workforce by more than 20% or 2,500 new hires in fiscal year 2022. In doing so, we'll have an even stronger foundation to scale and innovate on our path to $10 billion. This quarter was a strong start to our fiscal year and set the stage for acceleration in our business. As I look ahead, my optimism for Workday's future couldn't be higher. We have a great team in place and a significant global opportunity in front of us as companies continue to embark on their HR and finance transformation journeys. With that, I'll turn it over to my good friend and Co-CEO, Chano Fernandez. Over to you, Chano.
Chano Fernandez : Thank you, Aneel. As Aneel mentioned, we're off to a strong start in FY '22 with meaningful new bookings acceleration in the first quarter as organizations increasingly position Workday as the backbone of their digital transformation. Our Q1 bookings outperformance, combined with continuous strength in pipeline generation provide us with increased confidence in driving accelerated new bookings growth in FY '22. This quarter's results were once again driven by strong execution and high conversion rate. We saw a pickup in net new business as bookings from new HCM and financial customers improved along with the overall environment. And our installed base team had another outstanding quarter, sustaining the momentum we saw throughout last year, driven by solid renewal rates as well as strength across solutions. As Aneel mentioned, we have notable outperformance from Planning, Core Financials, Analytics, Spend Management and our Talent portfolio. From a geographic standpoint, we saw outperformance in North America and APJ while also driving healthy bookings growth across EMEA. Our medium enterprise team also had an exceptional start to the year as our investments in that market continue to pay off. And our strength continued in vertical markets, such as professional and financial services, healthcare and education and government, where industry-specific innovation and a dedicated go-to-market effort are critical to our success. As Aneel previously said, we have significant hiring plans in FY '22. And the sales and marketing organization is one of the biggest areas of planned headcount additions as we look to accelerate and sustain long-term growth. The investments are broad-based and global in nature, including quota-carrying capacity, presales and business development. We're also investing in non-headcount areas, such as marketing and brand campaign, focused on the office of the CFO. During Q1, we began ramping up this investment and are very pleased with the healthy pipeline growth that they helped drive. Based on the initial returns we have seen, we expect to accelerate the pace of these investments in the coming quarters, and I look forward to updating you on our progress. Organizationally, I'm pleased to say that we have successfully integrated the Peakon sales teams into Workday, with both our installed base and net new sales teams now actively selling this solution in the market. Although the acquisition just closed in March, we are very excited by the pipeline momentum. We had a number of meaningful Peakon upsell deals within our customer base in Q1, and the solution is already opening up doors for new significant customer relationships. Ensuring customer success has always been a core value at Workday. I am delighted to say that our customer success and services organizations have performed incredibly well, taking hundreds of customers' live across our core HCM and Financial Management offerings as well as our portfolio of broader solutions targeting the CFO, CHRO and CIO. Our partner ecosystem is also critical, not only helping take customer side but co-innovating on the Workday platform, enabling acceleration of our pace of innovation and engaging even more strategically with our partners. Finally, on behalf of the entire Workday leadership team, I would like to say thanks to all of our workmates across the globe. Thank you for a terrific start to FY '22, and let's keep the momentum going. With that, I will turn it over to our President and CFO, Robynne Sisco. Over to you, Robynne.
Robynne Sisco: Thanks, Chano, and good afternoon, everyone. As Aneel and Chano mentioned, we delivered a solid Q1 driven by strong execution against an improving market backdrop as organizations look to accelerate the pace of their digital transformations across HR and finance.  Subscription revenue in the first quarter was $1.03 billion, up 17% year-over-year, driven by strong new business sales, favorable in-quarter linearity and an overperformance on customer renewals. Professional services revenue was $143 million, and total revenue came in at $1.18 billion. Revenue outside the U.S. was $292 million, representing 25% of the total. 24-month backlog at the end of the first quarter was $6.59 billion, growth of 20%, driven by strong new bookings across both net new and add-on business. As I discussed on the last earnings call, the amount of ACV coming up for renewal in FY '22 is relatively flat from last year. This dynamic is purely a function of the mix of historical contract lengths that created a headwind to 24-month backlog growth in Q1 of a couple of percentage points, an impact that we expect will persist throughout this fiscal year before we return to a more normal level of renewals growth in FY '23. Total subscription revenue backlog at the end of Q1 was $10.08 billion, growth of 23%. Our non-GAAP operating income for the first quarter was $289 million, resulting in a non-GAAP operating margin of approximately 25%. Margin overachievement was driven by a combination of top line overperformance and favorable expense variances. Specifically, it took longer to ramp up hiring and external resources, and we had lower-than-expected costs related to Peakon. We have very ambitious investment targets for the remainder of the year in support of our growth aspirations and have confidence in our ability to continue to ramp these investments throughout the year. Operating cash flow in Q1 was $452 million, growth of 72%, driven by a combination of operating margin expansion and strong customer collections. As Aneel mentioned, our biggest investment continues to be in our people and in attracting top talent to Workday. During Q1, we began to ramp the pace of hiring, successfully adding and integrating roughly 600 net new employees, including over 250 from Peakon, bringing our total workforce at the end of the quarter to over 13,100 employees. Overall, we are very pleased with the momentum we saw in Q1, and we're continuing to invest to support growth as the environment normalizes. Turning now to guidance. Based on our over-performance in Q1, we are raising our FY '22 outlook and providing Q2 guidance as follows.  For subscription revenue, we're raising our full year estimate to be in the range of $4.425 billion to $4.440 billion, growth of 17%. As a reminder, Peakon is expected to add less than 1 percentage point to our overall subscription revenue growth in FY '22. We expect our Q2 subscription revenue to be $1.095 billion to $1.097 billion, 18% year-over-year growth, with sequential growth in Q3 and Q4 of approximately 3% and 4.5%, respectively. We still expect professional services revenue to be $590 million in FY '22 as we continue to prioritize driving the highest levels of customer success. For Q2, we expect professional services revenue of $145 million. Taking into account the renewal headwinds I mentioned earlier, we expect 24-month backlog growth of 17% in Q2. Investing for growth remains our #1 priority. As Aneel mentioned, we expect an increased pace of hiring across the company in FY '22 as well as the ramp of non-head count spending with a focus on sales, marketing and product, specifically targeted at accelerating demand generation, enhancing our market position and advancing our strategic product road map. Given that, we expect margins to moderate throughout the year with a Q2 non-GAAP operating margin of 20% and a full year non-GAAP operating margin in the range of 18% to 19%. The GAAP margins for the second quarter and the full year are expected to be approximately 24 percentage points lower than the non-GAAP margins. There is no change to our FY '22 operating cash flow guidance of $1.2 billion. During Q1, we completed the $171 million purchase of 5 buildings at our Pleasanton campus. This purchase is important to our headquarter strategy and affords us control of our core campus buildings. We do not expect any further owned real estate investments for the remainder of the year, and we continue to expect $270 million of other capital investments to support our customer growth and continued business expansion. And finally, I'll close by thanking our amazing employees, customers and partners for their continued support and hard work. We're off to a great start for FY '22, and our focus remains on driving accelerated bookings growth. With that, I'll turn it over to the operator to begin Q&A.
Operator: [Operator Instructions]. Our first question comes to the line of Kirk Materne with Evercore ISI.
Kirk Materne : Aneel, I want to go back to sort of your comments not only this quarter but actually last quarter about sort of the building pipeline and sort of the opportunity to accelerate bookings in the back half of the year. Just how are you feeling about that opportunity? You're obviously investing against that opportunity, so I assume you still feel good about it. But maybe how should we think about that playing out over the years? Is it going to be perhaps a little bit more back-end loaded? Just give us some more color on that idea because I think everybody hears your enthusiasm on the pipeline and the buildup, but obviously, the second quarter doesn't necessarily reflect that. So I just want to make sure there's no change in the longer-term thought process.
Aneel Bhusri: Well, so just remember that subscription revenues lag bookings growth, and we accelerated bookings growth in Q1, and frankly, more than even I had expected in my usual optimism. So it takes a while for that accounting to catch up with the acceleration in net new business. But the net new business and better-than-expected performance across really all products leaves us with a lot of optimism. And then, of course, we had a great renewals quarter, too. I might turn it over to Chano. But I think that acceleration has already started.
Chano Fernandez: Yes. Thank you, Aneel. Hi, Kirk. We have healthy pipelines looking ahead for Q2 across both HCM and FINS, and across both net new and installed base teams. Based on where we stand today, we feel very confident how the rest of the year should be performing in terms of supporting our accelerated bookings and definitely having a strong second half, right? As you know, we have increased seasonality in the second half of the year as it relates to new ACV bookings. And that's no different this year, with a meaningful part of the pipeline strength we've had the last few quarters targeted to close in the second half. So I would say, based on where we are today, I'm excited about both Q2 and the second half, and we expect strong results across both.
Kirk Materne: That's great. And Chano, if I could ask just one follow-up. You mentioned on the head count additions, quota-bearing reps. International is still only 25% or so of your revenue. Can we expect that there'll be a pretty heavy investment in some of these international regions? And are they starting to perk up pretty nicely for you all at this point in time?
Chano Fernandez : Yes. You should be expecting that part of that quota-carrying reps that we are hiring would be certainly across net new international installed base, some of the verticals that we are playing. And we're seeing already acceleration in Q2 in international in terms of booking. We should be expecting that with the strong pipeline performance we ended at last -- end of last year, again, it is for us now to execute. And of course, as the market is more recovering and opening after the COVID kind of headwinds that we saw last year, particularly net new, I would be expecting that net new should be performing better in our international markets going forward.
Operator: Our next question comes from the line of DJ Hynes with Canaccord.
DJ Hynes: I'm going to ask a big-picture question. I don't know if it's better for Aneel or Chano. But one of the questions I sometimes get from investors is that, if this business is going to double over the next 4 to 5 years, say, what do you think the mix of land versus expand looks like to get there?
Aneel Bhusri: That's definitely a question for Chano.
Chano Fernandez: Yes, I would say it would just get much more balanced. Clearly, we've been talking traditionally that the installed base and some of the more land business was representing 20% of our new business bookings. It's clearly representing more today and definitely is balancing out as we see especially more landing products with Peakon nowadays, Scout, Planning. So you should be that balancing out. Honestly, it's kind of still hard for me to say when it's exactly going to be equal but -- because we certainly want it to remain very strong on both fronts, and we're very excited right now that net new bookings on net new logos is accelerating. But clearly as well, we're playing these days a land motion [ph] with some of these products when trying to meet customers where they are in the journey, when they're now ready to do as part of the transformation. The breadth of our portfolio today is significantly stronger and broader, and that is allowing us to play a significant land motion, not only in our installed base but also some of the net new logos, too.
DJ Hynes: Yes. Yes. Okay. That's helpful. And a follow-up to Kirk's question on the hiring. Look, I think the margin upside may -- and you guys alluded to this, that -- say that it's been a bit harder than expected to kind of ramp back up the HR engine. Like where would you say you are in terms of getting the pace of hiring back up to kind of pre-COVID or maybe faster levels? And what do you think -- what have been the biggest challenges there?
Robynne Sisco: So why don't I take that one? So as you can see...
Chano Fernandez : Yes. Take that one, Robynne, please.
Robynne Sisco: Sorry, Chano. When we look across the entire company, you saw us accelerate in Q1. We had over 600 net new hires. And while 250 came from Peakon, 350 were organic. And that compares to relatively flattish headcount last year. So we feel good that we are ramping, and we feel really good about the pace of hiring coming out of Q1. And you should expect it to accelerate across all areas in Q2 and then stay at that heightened pace for the rest of the year. And Chano, I don't know if you want to add anything specific to sales to that.
Chano Fernandez: No. The only thing I would add maybe to sales is that is being already an important area of investment in terms of hiring in Q1, potentially the highest one we've been having across the company. And we -- our intent is just to keep ramping up as we go throughout the year.
Operator: Our next question comes from the line of Keith Weiss with Morgan Stanley.
Keith Weiss: Thank you guys for taking the question. And a really nice start to the year. It sounds like momentum is coming back in a really big really way. A question for Robynne because these subscription models are tricky and you've been warning us about the impacts of a weaker expiry base this year and gross dollar -- sort of the growth from that renewal base is basically flat from last year. Is that impact even across the year? Is that something that we're going to deal with each and every quarter? Or is there any kind of seasonality to that, that we should be thinking about?
Robynne Sisco: Yes. Keith, so that will impact every quarter throughout this year. And while the impact will bounce around a little bit, we do expect it will be a couple of points throughout the year. But keep in mind, when we look at historical renewal levels, there's a range of normal growth. So quantifying the exact impact, not -- it's difficult to be very precise that we wanted to give you a feeling for the magnitude. But we do expect that will persist every quarter throughout this year, and that will return to more normal levels next year.
Keith Weiss: Got it. And then when you talk about a couple of points, is that a couple of points of bookings growth you're talking about? Or is it the RPO growth? Like a couple of points specific to which one?
Robynne Sisco: 24-month backlog growth.
Keith Weiss: And then like underlying that, that's just about contracts up for renewal? Like the renewal rates themselves, those are staying pretty solid?
Robynne Sisco: Yes. That's correct. In fact, we had an overperformance of renewal rates in Q1, so we feel really good about that. This is just scheduled renewals, which is purely a factor of terms of previous deals. And again, just to reiterate, no impact on this flattened renewal base to subscription revenue, just backlog.
Keith Weiss: Got it. Okay. So it sounds like the factors that you guys have in your control are all doing really well, are actually outperforming. It's just the timing on contract renewals that are creating a little bit of a drag.
Robynne Sisco: That's correct. On the 24-month backlog number, yes, and the total backlog number as well.
Operator: Our next question comes from the line of Kash Rangan with Goldman Sachs.
Kasthuri Rangan: Robynne, I have a question for you. Just extending your logic with the renewal base being a little bit challenging this year, but your net new is starting to accelerate. So going into next year, probably '22, with a stronger renewal base, so what does that mean for backlog growth next year? And also, I think Aneel or Chano, maybe on previous quarterly earnings conference call, we've talked about financial migrations being pulled in by a year or two. Can you just give us an update as to what you've seen so far with respect to customers’ intent to move a little quicker on core FINS migration?
Robynne Sisco: So Kash, as I've mentioned before, the impact from last year's new business headwinds is more fully felt this year across key metrics such as backlog. As Aneel talked about, we feel confident in our ability to accelerate new bookings growth this year, and Q1 results really underscore that. But keep in mind that the bookings acceleration this year will take time. It has to compound into the model to be able to offset the cumulative headwinds from last year. So as we execute against our bookings targets this year, the first thing you should expect to see is stabilization in the backlog number as we move through the year. Now there will still be some quarter-to-quarter fluctuations, but stabilization is really the precursor to reaccelerated growth. A little too early to talk about whether that happens next year or not. We have to move through the year and see how we finish.
Chano Fernandez : Yes. In fact, on the FINS one, well, already FINS is a key part of the reacceleration story, and we are seeing more and more of these opportunities coming to market. And not only did we have several strategic FINS wins in Q1, as Aneel mentioned, we have solid FINS pipeline growth as well. There are also emerging opportunities through our enterprise finance solution, where we are now much better positioned to go after product-based industries like retail and manufacturing. And we have nice wins here in Q1, including burner tracking, for example. I would like to highlight the momentum is limited just to core Financials, which I'm referring to. It is also a broader solution set that we are selling into the office of the CFO, as you know, includes Planning, which we had a very strong quarter in Q1. Spend Management had another fantastic quarter in Q1, Analytics. So we're really trying to make the best out of the product portfolio with both our installed base customers and many levels.
Operator: Our next question comes from the line of Brent Bracelin with Piper Sandler.
Brent Bracelin: Perhaps for Chano or Aneel here. I wanted to go back to this acceleration in bookings here in Q1. I think we were thinking bookings would reaccelerate in the second half, in part on easier compares, but it came here in Q1. So walk me through the drivers of the acceleration. It sounds like FINS is part of it. But are you seeing just shortening sales cycles? Are you seeing enterprise appetite to kind of invest in the office of the CFO, pick up more than you anticipated? Can you just walk through other factors that kind of drove the unexpected acceleration here in Q1? I know the compare wasn't as easy as the compares are going forward. So just walk us through factors there that drove accelerated bookings.
Aneel Bhusri: So maybe I'll give a high-level perspective from talking with a whole host of CEOs. And then I think a big part of it was also terrific execution by Chano's team. I think everybody is beginning to look forward now. I won't say everybody, but a lot of industries are looking forward now, including airlines, including travel companies. We seem to be putting the pandemic as much behind us as we can, and people are looking forward to the future. And when they do that, it bodes well for us. And I think that's what happened. It probably happened a quarter earlier than we expected, where the return to normalcy would begin to show up in not just the pipeline but actually in deals closed. Then I also think for Q1, it was terrific execution. And I'll defer to Chano on that topic.
Chano Fernandez: Yes. Thank you, Aneel. I think, first of all, great execution by Doug Robinson and the team. So thank you, guys, for what you did. Clearly, the momentum is back. And we said last year, we were producing good pipeline generation during the second half last year and kind of already in Q2 last year. Some of that pipeline, of course, was mature to be closing already in Q1. I think the major factor, it came back significantly, net new logos, and that produced a big part of the acceleration. Financials, really both in our installed base and some net new logos, helped out with the acceleration. The breadth of the product portfolio, as I said, with some solutions, I mentioned they are Planning, Spend Management, among others. Peakon had a very good quarter as well, though, of course, we only had kind of 4 or 6 weeks that really were part of our quarter. So there were a number of different elements. Rest of the World, both EMEA and APJ, I made my -- I commented in my prepared remarks that both of them saw accelerated bookings. So I think it was a balanced picture across solutions, Financials and HCM mainly on installed base, and I would say geographies as well. So it was around this quarter. I think companies are realizing that where there is really the true backbone to support the digital transformation, message here seems to be resonating, momentum is there, so we just need to keep executing upon that momentum.
Operator: Our next question comes from the line of Karl Keirstead with UBS.
Karl Keirstead: Hey, Robynne, I'm just thinking about your third quarter and fourth quarter subscription revenue growth guidance. When I look back over the last 4 years, Workday has got a pattern where your 3Q sequential growth in subscription revenues is in line with or actually above 4Q. So the guidance that you gave us for 3% sequential growth in 3Q and 4.5% for 4Q implies a little bit more of a 4Q skew than we've seen in the past. I'm wondering if you could just address that. And does that imply that perhaps the total bookings acceleration that Aneel and Chano have been talking about is perhaps a little bit more of a 4Q phenomenon?
Robynne Sisco: Yes. Karl, so we're not seeing any massive changes in trends of seasonality. And as always, we expect Q4 to be our most significant quarter. A lot of the sequential growth has to do with linearity within the quarter. We saw strong in core linearity, for example, in Q2. And it's harder for us to predict the further out we are. So we're still early in the year. We'll give you better guidance around Q3 and Q4 at the next call, but we just wanted to make sure you guys saw what we were seeing. But we don't see anything massively different. But it will really be tied to the linearity of how the deals flow within the quarter.
Karl Keirstead: Okay. That makes sense. And if it's okay to ask a follow-up to you, Robynne, on cash flow. Workday has done, it looks like, about $1 billion of operating cash flow in the last 2 quarters. I don't think we've ever seen that. So you mentioned the higher margins and the good collections, but anything else funky going on, Robynne, around cash flow? And any thoughts you could provide us in terms of the relationship between cash flow and operating margins as we build out our models for the full fiscal year?
Robynne Sisco: Yes. So part of our flattish operating cash flow this year is due to the margin contraction that we expect to happen throughout the year. So that will become a headwind on cash flow growth year-over-year. We've done really well on cash. And certainly, I see some upside to our guide, but our biggest cash flow month is January, in fact, the last 2 weeks of January, where we have a very significant amount of annual invoices come due. And so we need to just take a wait-and-see attitude as we go through the year. But I certainly see some upside from our guide of $1.2 billion.
Operator: Our next question comes from the line of Mark Moerdler with Bernstein Research.
Mark Moerdler: Congratulations on the strong start to the year. Hopefully, we see that continue to accelerate. So 2 questions. First, you're guiding up full year margins while guiding to strong employee hiring throughout the year, acceleration and then sustain of that. Is the margins due to a bit more -- a bit less T&E for the rest of the year? Or is it stronger revenue expectation? Or is there something else? And then I got a follow-up.
Robynne Sisco: Yes. There's actually several things in there, Mark. So as you know, 1% of our revenue -- our margin raise was tied to the increase in our revenue guidance raise as well. And then as I mentioned earlier, we have really ambitious investment plans. And we have strong confidence that we can reach our hiring goals for the year, but the timing of that hiring is going to cause some potential variability into the margins throughout the year. And the last thing I'll mention is, as you said, we still are getting some COVID-related benefits in our expenses this year, particularly from travel as well as office-related expenses and the lull in the hiring we saw last year. So we expect that savings to significantly moderate as we get into the back half of the year.
Mark Moerdler: That makes sense. Going back to the question in terms of the cadence. When you -- last quarter, you called out the strength in the pipeline growth. And it sounded like there was -- the pipeline was more -- was less mature, but because of the fact it built later in the year versus earlier in the year. You've talked about how that pipeline has continued. But where are we in that maturation process? Is the maturation process online? Or is it accelerating in terms of -- because we saw a strong Q1? Does it have any effect in terms of when that should fall out? What are the -- what are you seeing in terms of the stuff that's in the pipeline and where it's driving toward close?
Aneel Bhusri: That's you, Chano.
Chano Fernandez: Yes, Mark -- sorry. Mark, I wouldn't say there are any significant changes of notice in the pipeline. Clearly as we have more significant business with our installed base, and we have a higher land motion of SKUs and products, those tend to have faster sales cycles, and really they accelerate and mature faster than big transformational projects. So that can make -- skew a little bit, of course, that pipeline that we can be creating within the quarter. We can close even at the end of that quarter or maybe next quarter. That is clearly not the majority of our pipeline. The rest of the pipeline that we were creating last year and for some of our, let's say, most significant cycles will still take the 6 to 12 months. And we should be playing -- see some of those playing mostly during the second half of this year.
Operator: Our next question comes from the line of Scott Berg with Needham & Company.
Scott Berg: I just have two shorter ones. First of all, probably for Chano. As you look at the deal composition this quarter, are there any difference maybe in terms of size or number of modules that customers are buying on your initial lands versus maybe what you saw pre-pandemic? Our work has seemed to show that you're adding maybe more modules on that upfront sale than previously.
Chano Fernandez : I would say the highest difference or the most significant difference is there is the highest composition from net new logos that, of course, that we didn't see in the pandemic. There is a higher composition from Financials and being some of the landing SKUs. Clearly, our medium enterprise team continues to execute really, really well. And they had another phenomenal quarter. And there usually customers tends to consume more SKUs to start with when they become the partnership with Workday, right? But other than that, I wouldn't say that there are other significant differences to highlight.
Scott Berg: Got it. And my follow-up question is for Robynne on the outperformance of the renewals that you called out. I guess as you called it out because it was significant enough to call out, but any additional color there may be on what the outperformance was like? Or anything that you noticed from the renewals this period that might be able to be carried forward, say, to future periods?
Robynne Sisco: Yes. Scott, so we were very pleased with the renewals in Q1 with gross retention once again over 95%. At the end over the past year, we saw some impacts from increased bankruptcies in the medium enterprise space as well as an increase in customers lowering worker counts, even as some other customers actually continued to increase worker counts. So as we approached this year, we assumed we'd see some improvements in the bankruptcies and workers trends, and we are really pleased to see overperformance in Q1 on this front. So we're off to a really good start and expect strong renewals to continue through the year.
Operator: Our next question comes from the line of Brad Sills with Bank of America Securities.
Bradley Sills: I wanted to ask the question on the FINS pipeline strength another way, if I could, please. It sounds like you're seeing wider lands coming into the pipeline for FINS. And I assume that's due to the progress you've made in all these add-on modules and in vertical applications, planning, sourcing, there's a lot in there. But are customers starting with more departmental wins still? Is this kind of -- any color on just where the -- what those pipeline deals look like for FINS in particular? Or are you seeing a move towards wider multi-department deals that are coming into the pipeline and customers going bigger initially across more organizations with FINS?
Chano Fernandez : Yes. Thanks for your question. I think not necessarily we're seeing more departmental wins. Clearly, on some large customers, we are playing some departmental starting point of view. But I think the -- what we're seeing in FINS is just the maturation of the pipeline that we've been working on right now. We're becoming a much more prominent and referenceable solution in the market with many more references and customers are really appreciating that Carta is a big player in the enterprise financials cloud offering right now. Then, of course, the broader offer that we have today in terms of the number of SKUs that we have around FINS that is much more complete than it was in the past. And last but not least, I would say, enterprise finance helping us up to address the market that we -- certainly we could not address before. And then in some areas like financial services, clearly Accounting Center has been very strategic and very significant for us to have a very formidable FINS offering. So I would say it's a combination of different factors. I don't think it's just one single factor. Even I would say some of the investments that we've been starting to do around brand awareness and the office of the CFO are also helping out as well in some of our international markets with our FINS solution. So it's many different factors, not just one single theme.
Operator: Our next question comes from the line of Brian Schwartz with Oppenheimer.
Brian Schwartz: I just have one question for Chano. It's on the back to work. And I'm just wondering, in your conversations or maybe in the pipeline composition, do you sense businesses are still holding back on certain initiatives, whether it's either in HCM or FINS that could get prioritized when more and more employees return to the office later this year?
Chano Fernandez : Yes. Thank you, Brian, for your question. I think so. We'll need to see how it plays out. But we're certainly seeing -- and Aneel was commenting in some of our conversations with C-level executives of our customers. They've clearly been prioritizing employee engagements and back to work and kind of the HR offerings. But right now, we are seeing as well how they start to reconsider and there some sort of pent-up demand, I would say, in terms of overdue projects on the office of the CFO that should have been done that they're starting to get it done. So I think it's that what we're seeing in terms of that digital acceleration transformation as a whole, and we play very well on that one as the enterprise backbone of that transformation.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude today's Workday's First Quarter Fiscal Year 2022 Earnings Conference Call. Thank you for your presentation. Enjoy the rest of your day.